Operator: Good day and welcome to W.R. Berkley Corporation’s First Quarter 2015 Earnings Conference Call. Today’s conference is being recorded. The speakers’ remarks may contain forward-looking statements. Some of the forward-looking statements can be identified by the use of forward-looking words, including without limitation, believes, expect or estimates. We caution you that such forward-looking statements should not be regarded as a representation by us that the future plans, estimates or expectations contemplated by us will in fact be achieved. Please refer to our Annual Report on Form 10-K for the year ended December 31st, 2014 and our other filings made with the SEC for description of the business environment in which we operate and the important factors that may materially affect our results. W.R. Berkley Corporation is not under any obligation and expressly disclaims any such obligation to update or alter its forward-looking statements whether as a result of new information, future events or otherwise. I would now like to turn the call over to Mr. William R. Berkley. Please go ahead, sir.
William Berkley: Thank you very much. Well, good afternoon. Welcome to what seems like an extended winter. It is the first quarter conference call, however, in spite of that. So, we're going to start by letting Rob talk a bit about our operations and then we'll go to Gene who will talk about the numbers, then I'll try and talk about some general information and a little bit about where I think things are going, and then, take questions. So, Rob?
Rob Berkley: Thank you. Good afternoon. Market conditions during the first quarter were, generally speaking, a continuation of the trends that we've seen over the past few quarters. The insurance and reinsurance market continues to march to the beat of a very different drum. The reinsurance marketplace remains notably competitive, though the pace of deterioration, at least for the moment, seems to be slowing. As we've all observed and discussed, the challenges started in the property cat reinsurance market and have spread globally to most product lines within the reinsurance place -- marketplace. On the other hand, competition in the international insurance market continues to accelerate as many market participants are looking beyond their borders for growth. Though not limited to Brazil, Canada and Australia all standout as being exceptionally competitive. Fortunately back here at home the domestic insurance market continues to offer good underwriting opportunities. In particular, the GL, much of the professional and the worker's comp market continues to be more attractive as in many other parts of the international marketplace. Having said this, domestic, property and cat exposed property as well as commercial auto remain quite challenging. Turning to the company's performance, the group had net written premium of approximately 1.57 billion for the quarter. This is up over 3% compared with the corresponding period last year. This result was in part achieved thanks to a strong renewal retention ratio which was approaching 80%. Our domestic insurance led the growth, coming in at an increase of 6%. Of the six points of growth, three plus was associated with rate. Our international insurance segment was up slightly more than 2%, however, there are a fair number of moving pieces, some stemming from FX which Gene will be discussing shortly. And finally, our reinsurance segment contracted 13%, which is very much in line with our expectations, given our view of the marketplace, overall, as I referenced a few moments ago, as well as an earlier call. The loss ratio for the quarter came in at 61.2. Our domestic loss ratio was at 61.6. This was negatively impacted by [cat] [ph] but also weather-related losses. Cat – PCS definition, which is what we use for our cat definition, captures much of the weather-related losses, but it does not capture slip and falls, frozen pipes or other structural damage such as issues that rooftops have due to excessive weight from snow and ice for an extended period of time. Our international and reinsurance segments both showed improvement in their loss ratio. In particular, I would draw your attention to the improvements in the international segment loss ratio, particularly compared with Q4 2014. The expense ratio also improved to a 32.7, this is an improvement of almost 1 point when compared with the same last year. Both the domestic and international segments continued to show their improvements in their expense ratio and the reinsurance segment which was going the wrong way – or, was deteriorating a bit, in fact, was a result of higher commissions. If you look at internal expenses, in fact, it's improving. All in, the company achieved a combined ratio of a 93.9, in spite of the challenging winter. It's worth mentioning this includes $12 million of net positive developments, also worth mentioning this is the 33rd quarter in a row of net positive development. Looking forward, we think that when we look at the marketplace, overall, we think certainly the domestic casualty market is amongst the more attractive parts of the market to be. And as a result of that, we think our platform is particularly well positioned to take advantage of these market conditions, given that approximately two thirds of our business is focused on the U.S. casualty space.
William Berkley: Thanks, Rob. Gene, do you want to take us through the numbers?
Gene Ballard: Okay, thank you, Bill. Well, for the first quarter 2015, we reported net income of $118 million or $0.89 per share that compares with $170 million or $1.25 per share a year ago. The decline in earnings was due to lower income from investment funds and from realized investment gains partially offset by modest improvement in the underwriting results. I'll briefly summarize each of those areas. As Rob said, net premiums were up 3.2% to $1.57 billion, and with the net up 6%. The domestic segment had growth in all its major business lines. The growth was led by professional liability, which is especially strong, due in part to a recently started company. The international segment was up 14% in original currency terms, however, after adjustment for the strengthening of the dollar, that converts to a growth rate of 2.5% in the U.S. and U.S. dollar terms and reinsurance segment premiums declined 13%, as both the treaty and facultative markets continued to be very competitive. Our overall underwriting profits were up 7% to $89 million. Our current accident year loss ratio before cat losses was 61% unchanged from a year ago. So, although our price increases are continuing to be modestly higher than our estimated loss cost trends, for now, we're holding that loss ratio at the 61% level. The paid loss ratio, however, continue to fall down to 51.4% in the quarter compared to 54% in all of 2014 and an average of 58% over the past five years. As Rob mentioned, cat losses were 14 million or one loss ratio of point, that's the same as it was in the first quarter of 2014. And the cat losses were primarily due to winter storms and almost all in the domestic segment. Payroll reserve development was 12 million in the first quarter that compares with 25 million a year ago. And again the majority of that positive development in the quarter was in the domestic segment. Overall expense ratio declined by nine tenths of a percentage point to 32.7, with improvement of 1.3 points for the domestic segment, 1.0 points for the international segment; that was partially offset by an increase in the expense ratio for the reinsurance segment, as Rob mentioned, as a result, primarily, of the sliding scale commissions on profitable reinsurance business. That gives us an overall combined ratio of 93.9 for the quarter, unchanged from a year ago, with the domestic combined ratio improving by six tenths of a point to 92.8. International improving by two points -- over two points to 97.0 and the reinsurance segment up half a point to 98.0. Turning to investments, despite the current bond market, our core investment income was 118 million in the first quarter, up 3 million from a year ago and the average annualized yield on the core portfolio was unchanged from 3.2%. Investment funds reported an aggregate income of 6 million compared with a profit of 54 million a year ago. 2015 resulted included a previously announced loss of 22 million for energy funds. The loss was more than offset by earnings of 28 million from other investment funds with especially strong results from the reinsurance – excuse me – from the real estate sector. Realized investment gains were 19 million in the first quarter, which is the 24th consecutive quarter that we reported a net realized investment gain. A year ago, we reported significant realized gains of 53 million, which were primarily the result of the sale of one of our significant commercial property investments. At March 31, 2015, the average rating and duration of the fixed income portfolio were AA minus and 3.2 years, both of those unchanged from the beginning of the year. Aggregate unrealized investment gains before taxes were up 25 million to 495 million at March 31st and unrealized currency translation losses increased 48 million due to the strengthening of the U.S. dollar against – primarily, against the British pound and the Canadian and Australian dollars. Interest expense was up 4 million due to the issuance of 350 million of subordinated debentures in August of 2014. A portion of the proceeds from that offering were set aside to repay 200 million of senior notes that mature next month. The effective income tax rate declined almost two points to 29.8% in the first quarter, that's mainly the result of the lower investment fund income and the lower investment gains, which are generally taxed at the full 35% tax rate. We repurchased 1.8 million shares of our own stock in the quarter for an aggregate cost of $91 million. All that gives us an ROE of 10.3% for the quarter and an increase in book value per share of $0.44 to 36,065 at March 31, 2015.
William Berkley: Thank you, Gene. Well, overall, I think we had an excellent quarter. Is it perfect? No. There are some things we'd like different. But I want to remind everybody, we manage the business to optimize the economic output of our enterprise. Does that mean we can't -- in this environment, with low interest rates, have quite the same predictable investment stream that we had in the past? So, several years ago, we shifted our investment portfolio, which gives us a less smooth investment income. That comes about in various ways. You see it by our capital gains where we've tried to give people guidance to say, sort of as a general rule. I think in terms of $25 million a quarter or so. But, there are also a number of other things that cause our investment income to be lumpy. So, we own a building. Well, it’s a zero equity value at the moment because all of our cash is out and we're refurbishing a bit of it. That's all on expense. It cost us $3 million in reported earnings -- a little more than that for the quarter. But, in fact, that hasn't been a diminution of the value of the building. But, for accounting purposes, it is. We have a number of things like that. We don't by companies because starting them is a better economic process. It doesn't show as well on earnings, especially in the short run. But, in the long run, it gives you a better cash return. We run the business as we run it from an economic point of view, as if we owned the whole thing. We try and focus on how do we get the best economic return. We're pretty optimistic that we have a number of things coming along that will catch up with that investment income return. So, we think the year will end up being quite a bit better than our 10.3% for the quarter. Whether we can get the 15% or not, hard to predict. Timing is everything. The operating results. We're in the right place in the market. But, it still is more competitive than we had expected. We still have opportunities to grow. We see niches that appear and then disappear. As long as we connect quickly, we'll be able to seize those opportunities. Our structure lets us do that. But, clearly, at the moment, things are not getting better. They're not deteriorating a lot, other than in the reinsurance business. But, most of the rest of the world, things are all right to getting flat. But, we're not prepared to say things will to continue to get better as the year goes along. We think things will continue will be all right. And keep in mind that earned premium that was written in the prior 12 months is going to continue going in at improving rates. So, our reported results should be fine and improving for this year. Where we go 12 months from now, it's hard to predict. But, we don't see any dramatic decline in profitability. In fact, we think things will continue to improve. With that, I'd be happy to answer questions, Amanda.
Operator: [Operator Instruction] Our first question comes from Ryan Tunis with Credit Suisse. Your line is now open.
Ryan Tunis: Thanks guys. My first question, I think it's probably for Bill. But in the press release highlighting, I think, in Domestic that you think you can modestly improve margins for the balance of the year. I guess I'm just curious. Do you see most of the improvement there coming from the expense ratio? Is there any more improvement left, potentially, on the loss ratio? With price, it looks like still above 3%. Just curious on that.
William Berkley: The answer is, there are several things happening all at once. It's like anything. The complicated stories don't have simple answers. First of all, we think we'll continue to have a modest improvement in the expense ratio. Second of all, inflation clearly has not risen as we anticipated it would and as many people expected. So, our lost cost growth is less than we thought it was and there is no sign at the moment that that inflation, which is just around the corner, the corner keeps getting further away. And finally, we've been able to get price increases still in the neighborhood of 3%, which is, in fact, a bigger spread than we anticipated over lost cost. You put those things all together, and that’s just simple mathematics. It's improvement in margin and improvement in expense ratio. 
Ryan Tunis: Understood, thanks. My second one is more for Rob. And it's drilling down a little bit into the International business, clearly improved this quarter. Wondering what's driving that relative to the fourth quarter. Is that price? Is it mix? Were there lighter-than-planned, maybe, large loss activities? And also, just curious on any update in terms of the provisioning you guys did in the fourth quarter on the European professional liability book. Were there any incremental provisions put up there? Did you learn anything new from the experience we've seen in the last few months? Any help there? Appreciate it. Thanks.
Rob Berkley: Okay. Let me take those one at a time. So basically to make a long story short. Presumably, as you'd expect, the change between the first quarter and the fourth quarter – the loss activity quieted down dramatically. And as we have suggested, when we have the fourth quarter call, while there are no guarantees, we thought we had certainly looked under most stones and felt as though we were well on our way to getting our arms around it. Obviously, we continue to make sure that we have gotten our arms around it fully and it's possible that there could be a bit more noise coming through during the first quarter that we'll be talking about – rather, in the second quarter when we have the discussion about that. But, again, it was just reduced loss activity. Sorry, what was the second question? You were breaking up a bit.
Ryan Tunis: Yes, the second question -- I'm sorry -- was just, was there any type of incremental provisioning from what you did in the fourth quarter? Did you learn anything new? It sounds like you do feel better about –
Rob Berkley: I think the – the answer is, as we suggested, we feel as though we've identified the cornerstone issues and that we are getting our arms around it and we think we are well on our way to where we need to be. 
Ryan Tunis: Got it. My last one is just on some of the energy investments and the extent to which you guys have visibility that some of those losses are behind us headed here into the second quarter.
William Berkley: We think there may be some investment losses, still. But, it's not anything like the magnitude of the $22 million. Probably, at this point, our best guess is $5 million from the energy funds losses. But, we're not 100% certain at the moment. 
Ryan Tunis: Thanks, guys.
Operator: Thank you. Our next question comes from Josh Shanker with Deutsche Bank. Your line is now open.
Joshua Shanker: Gene, do have the arbitrage number there? You might have said it, but I was writing down too fast. Do you have that number?
Gene Ballard: Arbitrage number for the quarter was $9 million. 
Joshua Shanker: And so that was a pretty large one. But generally speaking -- and I think I've asked this before -- and you said there is volatility. It seems like in the net investment income line from fixed income returns, it's a little bit more volatile than I would have thought. Sometimes it's higher; sometimes it's lower. What are you actively doing, quarter to quarter, that makes it that way? Or am I just perceiving something that's really more stable in your view?
Gene Ballard: Well, just to be clear, in the release, we just give the core portfolio, so that is not just fixed income. 
Joshua Shanker: Yes, that's true, absolutely. But I do note that, if you go back historically and look through it, it does seem like some quarters, you have higher -- I guess I would expect, quarter to quarter, that the fixed income returns would be about the same, quarter to quarter. You can see in 3Q, you had about $120 million; and 4Q at $108 million. I guess this quarter, we take out the $9 million, it brings it to about $110 million. Maybe I'm looking at that 3Q 2014 anomaly, and just wondering if there's something clever you are doing on the fixed income side at this point?
William Berkley: We're not that clever.
Joshua Shanker: I don't think that's true.
William Berkley: Well, we couldn't be that clever because you are not recommending our stocks.
Joshua Shanker: That might be. That might be me [indiscernible].
William Berkley: If we were really that clever, you would be. So, the answer is, there are constant -- you make swaps to pick up dividends. You do all kinds of things. There's no question in that quarter, we were able to pick up some returns by doing a couple of things. And that was a particularly good return -- but I think that -- if you look at our base level of return, it continues and arbitrage does go up and down a little more than [indiscernible].
Joshua Shanker: And along those lines, do you have any thoughts on debt strategy here? I don't know if you have a long-term view on interest rates. But would you be interested in doing any refi at this point?
William Berkley: Well, we just did some. And we're going to next month pay off 200 million, at that point. As we always do, we look at our balance sheet and look at what our opportunities are, what we can do and try to figure out what opportunities may present themselves. So, we're -- it's something we look at all the time.
Joshua Shanker: Good luck with that and congratulations on the quarter.
Gene Ballard: Thank you.
Operator: Thank you. Our next question comes from Kai Pan with Morgan Stanley. Your line is now open.
Kai Pan: Thank you, and good evening. First question on your reserve. Could you talk a little bit detail about the $12 million reserve leasing in the Domestic segments and which line they're coming from? From which accident year?
William Berkley: We don't do that on the conference call.
Kai Pan: Okay.
William Berkley: You're welcome to give Gene a call and chat with him.
Kai Pan: Okay. Will do. If you just look at the amount of reserve release compared with the year-ago period, is that because it is quarterly volatility? Or you expect –
William Berkley: If you want to talk about the specifics of reserve releases, you really need to talk to Gene.
Kai Pan: Okay. Then switching gears to the current year loss ratio ex-cat, you mentioned on the call 61%. That's roughly flat, year over year, although the pricing, like gains, have been above your loss cost trend. I just wonder, is it more conservative reserving philosophy or something else there?
Gene Ballard: Yeah. We'll be cautious and see how the year folds out. We tend to look at the first quarter cautiously and if we see it developing more favorably, then, we expect, we’ll recognize it as time passes.
William Berkley: I think, as I said in my comments, I also was a little more pessimistic about a rising inflation that seems to have turned out. So, if that ends up being the case, we may find that we’re more cautious than we needed to be. Rob you want to add anything?
Rob Berkley: Yeah, I guess, just following on that, as we discussed in the past, our view is that when we come up with our initial picks, we are probably more likely than not going to err on the side of caution and certainly a component of that would be the assumption around inflation over the duration of that potential liability. So the initial loss pick, again, there are no guarantees. But our historic experience and our expectation will prove to be more on the side of caution than optimism. 
Kai Pan: Great. And then the last question, on the investment side. Bill, what is your thought about the first Fed rate hike and people expecting probably later this year? And how would you position the investment portfolio basically going forward?
William Berkley: I think generally, our view -- because we were originally anticipating more inflation and increasing rates by the end of the year. I think we are less certain of that view at the moment and we're more cautious. I think that where we look today is more like flat to vary slightly increasing rates and very, very little increase in inflation. So, we are looking further out. I think the balance, which to us was inflation and slightly higher rates, more likely by the end of the year is now probably even to slightly -- I would guess even would be the best thing. And we don't see that happening. We think that China is, in fact, slowing down. We do think that they're really not gunning Europe. Europe is not getting going at an accelerated pace and the U.S. can't carry the world. 
Kai Pan: So, you don't see just kind of major changes to the -- your current portfolio allocation? 
William Berkley: No. I mean, we're continuing to invest more of our liquidity. We've got commitments to invest more in real estate and we'll probably sell some of the real estate that's been developed already. But, we're continuing to invest in that. So if anything, there'll be some increase in our real estate allocation. But, not really a consequential one. If we invest $500 million or more in real estate, that's just 2.5% of our portfolio.
Kai Pan: Right. Thank you so much for all the answers.
William Berkley: All right.
Operator: Thank you. Our next question comes from Vincent DeAugustino with KBW. Your line is now open.
Vincent DeAugustino: Hi, guys. Good afternoon.
William Berkley: Good afternoon.
Vincent DeAugustino: To start on the worker's comp side, looking at California. Just relative to your assessment of loss cost trends there within your own book and then the relative stickiness of the foreign base savings. I'm just curious in your opinion on the justification of the rating bureau's rate decrease in this -- how that compares to the experience of your book and whether you agree with that rationale.
William Berkley: I’m pausing, not that I don't understand your question. I understand it very well. I'm trying to decide whether it's in the best interest of our shareholders for us to be talking about something of that nature. I think the – here's the best way I can answer it without answering it. I think that we feel as though that the California market provides, again, not across-the-board – I'm painting with a broad brush, but generally speaking, a reasonable opportunity to make a reasonable return. What the rating bureau does out there, I am not familiar with their data sets or their formulas, or intimately familiar with her actuarial analysis. But, certainly, our view is that the California market today is much healthier than it was a few years ago. Having said that, our view is that there’s certainly opportunity for it to become a bit healthier.
Vincent DeAugustino: Okay. Thanks for dancing around that issue. I appreciate it.
William Berkley: And then the reality is, it be common sense for us not to want to tell people our perception of an area that we compete in actively. So, we're trying to do the best we can without, probably, helping our competitors.
Vincent DeAugustino: Appreciate the disclosure there. And on that topic, I guess no good deed goes undone. So on the Supplemental Disclosure around Schedule P, sticking with worker's comp, if I look at that other bucket, it looks like the paid-to-incurred trend at 12 months maturity for the initial pick there has ticked up a little bit relative to past years. And on the IB&R allocation side, we see a little tick down that basically mirrors it. And so I'm just curious if there's anything there specific that's driving its worth? Maybe some of the changes in inflation assumptions might be responsible?
William Berkley: Anything above that nature, you'll have to talk to Gene off the phone.
Vincent DeAugustino: Got it. Thanks and best of luck. 
Operator: [Operator Instruction] Our next question comes from Jay Cohen with Bank of America/Merrill Lynch. The line is open.
Jay Cohen: A couple questions.
William Berkley: Jay, I have a picture of that same volcano. And I was there 1971 with my first Independent Director. 
Jay Cohen: Hasn't changed much, has it?
William Berkley: It was erupting when I was there. 
Jay Cohen: A couple questions for me. The first is, the accident year loss ratio not showing any improvement versus the year ago. Is part of that some of this non-catastrophe weather? The burst pipes, the roof damage? That wasn't a cat, but clearly was somewhat onerous in the quarter?
William Berkley: Yes. That's a part of it.
Jay Cohen: You couldn't quantify that, though, Gene?
Gene Ballard: It's probably close to the magnitude of the cats, themselves.
Rob Berkley: Jay, this is Rob. I would think that a reasonable estimate to use would be – if you look at the cat number – multiply it by two and that’s going to give you a weather-related number-ish.
Jay Cohen: In the year ago quarter, it would not have been as dramatic. Is that fair?
Rob Berkley: Right.
William Berkley: Correct.
Rob Berkley: I don’t know, Gene is that right.
Jay Cohen: Okay. That's helpful. And then secondly, did you have -- no numbers -- but any adverse development in either Reinsurance or International?
Rob Berkley: No.
Jay Cohen: Okay. Great.
Rob Berkley: It’s favorable, but very modest.
Jay Cohen: Got it. Perfect. Thank you.
Operator: Thank you. Our next question comes from Mike Nannizzi with Goldman Sachs. Your line is open.
Michael Nannizzi: Thank you so much. Most of mine were answered. I had one question about FX. How should we think about the impact in International for the rest of the year? Should we think about that 11-, 12-point difference—
William Berkley: I am sorry. I had a comment in my quote about it. And they all argued and nobody cared. So thank you, Michael. I appreciate it.
Michael Nannizzi: All right. Good.
William Berkley: The answer is, I think that it will have no impact at all. If anything, since you've actually look at the end of the quarter to now it's gone the other way.
Michael Nannizzi: I mean, that wouldn't be the first time that after ask a question to management team burst out laughing. 
William Berkley: I'm laughing with you. 
Michael Nannizzi: Good. I'm glad. Thank you. Thanks for that. And then one other one was, in the US, so growth there was about 5%, 6%. It's below 10% for the first time in a little bit. Any thoughts on what happened there? Are you just seeing less attractive opportunities? Or was there maybe a one-timer that impacted that? Or how should we think about your pension for growth in the US at this point?
Rob Berkley: Mike, this is Rob. I think there are a couple of drivers there. But to get to the root of your question, our expectation would be that the growth rate is going to sort of float between plus 5 and may be the low double digit, if you will, sort of 10% or 11% and that can ebb and flow depending on the quarter. There was no sort of one-off, if you will, that reduced the growth rate. Certainly, a component of it is that the rate increases have slowed a bit compared to what they were over the past few years. So, that's a couple of hundred basis points of growth rate there. In addition to that, there are certainly some sectors that have been driving the growth over the past many quarters that are not enjoying the same opportunity, energy being an example of that. But, overall, I think to expect the business -- as far as the domestic insurance business -- to grow at a rate somewhere between 5% and 10%, wouldn't be a bad assumption, at this stage, knowing what we know today.
Michael Nannizzi: Great. Thank you very much for the answers.
Operator: Thank you. Our next question comes from Ian Gutterman with Balyasny. Your line is now open.
Ian Gutterman: Hi, thanks good evening. Bill or Rob, I was curious to get your views. There's obviously been a lot of acquisitions going on in the industry right now. And I know a lot of it is on the Reinsurance side, but it does seem partially motivated by a desire to get into the Insurance space. And I think there is maybe one or two insurers that are rumored to be up for sale. How do you view that? First, do you expect this to continue? That we're going to see a continued wave, like the late 1990s; or are these one-off situations? And secondly, is Berkley just an interested observer? Or could there be anything that, at the right price and the right strategic merit, that you might be interested in doing something on the acquisition front?
William Berkley: We've managed this company in a way that we think is in the best interest of the shareholders; always, always have, always will. For us, that means if the right opportunity comes along, we will seize it. We think there's several things that are different now. Number one, we think a number of people deceive themselves by thinking scale of capital is an important competitive advantage. We think quite to the contrary. We think the world is full of capital and if you have skilled underwriting talent, you'll be able to get all of the capital you want. Therefore, getting more capital, as some people think is the object of putting two pieces together, is a bad decision. We think it doesn't help your shareholders. In fact, it ultimately dilutes their return. So, we should start by saying just acquiring something to get bigger, to add to your capital count is certainly nothing that we would consider. We always have the interests of finding ways to add expertise, finding people, finding something that gives us a competitive advantage. And, we are always in the market for that. And if people want to talk to us, we’re always willing to talk to them. But, it really has to do something that we think is terrific for our shareholders. So, I think consolidation will continue because there are a lot of people who found getting into the reinsurance business was easy and was an easy way to make money and it's going to be a lot tougher way of making money as people who have pools of capital that’s not theirs get together with expertise. So, I think consolidations will continue. Smaller and intermediate size players will get acquired and there'll probably be opportunities and many things that have been done, we've looked at, we've talked about. For some reason or another, they haven't participated.
Ian Gutterman: Do you see any new business opportunity, as there is distractions from competitors who are involved in deals? That maybe there's the ability to get some underwriters from those shops that are uncertain about their future? Or just that brokers are hesitant to renew? Does that create a business opportunity?
William Berkley: There are always opportunities. We are a known quantity. We understand how to organize and set up new ventures, built around teams of people and a week doesn't go by that some team of people or another doesn't knock on our door and we talk to them. But, we have a view that they have to provide something that is worthwhile and the opportunity to generate the kinds of returns we think our shareholders need to achieve. 
Ian Gutterman: Got it. And then just lastly, you mentioned things are getting a little more competitive. When we see deals that, as you said, are just accumulating capital, they're not removing capital from the industry, does that cause concern for you just as far as how the cycle plays out? I would have thought at this point the cycle free of excess capacity, people would do deals to take capacity out of the industry, but that's not really happening.
William Berkley: Well, in some cases it is and in some cases it isn’t. I think that -- at the moment -- and this changes all the time -- the hindrance for capital going out of the business is the fact that managements and Boards don't want to let go off their positions. So, capital can't move without their consent. I think that some of these things will, in fact, take place and you will find some of these people effectively going out of the business. So, I think that's going to involve and that will happen at some point in time in the next 12 or 18 months. 
Ian Gutterman: Got it. Thank you. Very thoughtful answers. Thanks. 
Operator: Thank you. I'm showing no further questions. I would like to turn the call back to Mr. William R. Berkley for closing remarks.
William Berkley: Okay. Well, thank you all very much. I know this is a time with lots of calls. We appreciate you being on the call and thank you all very much. Have a great day. 